Operator: Good day, ladies and gentlemen, and welcome to the Sands Third Quarter 2024 Earnings Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations. Sir, the floor is yours.
Daniel Briggs: Thanks so much. Joining the call today are Rob Goldstein, our Chairman and CEO; Patrick Dumont, our President and COO; Dr. Wilfred Wong, Executive Vice Chairman of Sands China; and Grant Chum, CEO and President of Sands China and EVP of Las Vegas Sands Asia operations. Today's conference call will contain forward-looking statements. We will be making those statements under the Safe Harbor provision of federal securities laws. The company's actual results may differ materially from the results reflected in those forward-looking statements. In addition, we will discuss non-GAAP measures. Reconciliations to the most comparable GAAP financial measures are included in our press release. We have posted an earnings presentation on our website. We will refer to that presentation during the call. Finally, for the Q&A session, we ask those with interest to please pose one question and one follow-up so we might allow everyone with interest the opportunity to participate. The presentation is being recorded. I'll now turn the call over to Rob.
Robert Goldstein: Thanks, Dan. Thanks for joining us today. The Macao market continues to grow. Total gaming revenue for the market grew 13% in the third quarter of 2024 when compared to the third quarter of 2023. Mass gaming revenue grew 14% in the quarter compared to one year ago. We believe the Chinese economy will grow and flourish in the future. It remains steadfast that the Macao market will grow along with it. I believe that the Macao market gross gaming revenues will exceed $30 billion in 2025 and grow from there. The scale and quality of the assets we have built are second to none. We believe that our assets position us to grow faster than the market as growth expands beyond the premium customer segment. Our business strategy is predicated on investing in high-quality assets that also have scale. We've designed our capital investment programs to ensure that we will continue to be the market leader in the years ahead. We believe our approach will enable us to grow faster in the long-term, grow our share of EBITDA in the Macao market and generate industry-leading returns on invested capital. Turning to our results in Macao. We delivered solid EBITDA for the quarter despite material disruption at the Londoner, which peaked during the third quarter. We opened the Londoner Grand Casino in the last week of September. We also opened 300, the first 300 Londoner Grand suites. We will introduce more Londoner Grand suites throughout the next three quarters. The total 1,300 Londoner Grand suites and rooms in service by Lunar New Year 2025 with a full complement of 1,500 suites and 905 rooms in service by Golden Week 2025. SCL continues to lead the market in gaming and non-gaming revenue and in-market share of EBITDA. Our objective is to capture a high-value, high-margin tourism over the long-term. We have a unique competitive advantage in terms of scale, quality and diversity of product offerings. Upon completion of the second phase of the Londoner in 2025, our product and management more pronounced than ever. We delivered another strong quarter in Singapore despite poor hold percentage. The results in rate base stands reflect the positive impact of our capital investment program and the growth of high value tourism. The growing appeal of Singapore as a destination is enhanced by the robust entertainment and lifestyle event calendar. As we complete the balance of our investment programs in the first half of 2025, there will be considerable runway for growth. Thank you for joining us. Let me turn it over to Patrick before we go to Q&A.
Patrick Dumont: Thanks, Rob. Macao EBITDA was $585 million. If we had held as expected in our rolling program, our EBITDA would have been higher by $2 million. When adjusted for lower-than-expected hold in the rolling segment, our EBITDA margin from Macao portfolio of properties, excluding the Londoner, would have been 35.1% or down 110 basis points compared to the third quarter of 2023. Our margins at the Londoner were directly impacted by disruption of the Londoner Grand renovation. We closed the casino and had around 2,500 keys out of inventory during the quarter. Margin at the Venetian was 38.6% and we expect margin improvement as the Venetian Cotai Arena comes back online in November and as visitation to the market and grows in unrated play both increase in the future. Margin at the Plaza and Four Seasons was 39.7% for the quarter. As Rob mentioned, we continue to progress our Londoner Grand renovation program. As these products come online, our competitive position will be stronger than ever. We expect meaningful EBITDA growth and margin expansion in the future. Turning to Singapore. MBS' EBITDA came in at $406 million. Assuming expected hold on our rolling play, our EBITDA would have been approximately $78 million higher. The strong financial results reflect the impact of high-quality tourism investment and market-leading product and growth in high-value tourism overall. Had we held as expected in our Rolling Play segment, MBS EBITDA margin would have been 47.5%, 40 basis points higher than that of the third quarter of 2023. While we have made substantial progress on our $1.75 billion refurbishment program in MBS, we are still in the initial stages of realizing the benefits of these products, including from our tower gaming offering, which opened in September. The next phase of our capital investment program at Marina Bay Sands is scheduled to be completed during the second quarter of 2025. This will support further growth in 2025 and beyond. Also, please note on Page 44 of our earnings presentation, we have provided estimated costs for our Marina Bay Sands IR2 project. We couldn't be more enthusiastic about investing in the long-term growth of high-value leisure and business tourism in Singapore. The original concept was in effect an expansion of Marina Bay Sands, including Arena. Our new program creates a full-scale integrated resort development with a full suite of amenities, including gaming capacity. We look forward to discussing that long-term growth driver in the Q&A session. Turning our program to return capital to shareholders. We repurchased $450 million of LVS stock during the quarter and our Board increased our repurchase authorization to $2 billion for future repurchases. We paid our recurring quarterly dividend of $0.20 per share in the quarter. In addition, our Board increased our annual dividend to $1 per share or $0.25 per quarter for the 2025 calendar year. We really look forward to continue to utilize the company's capital return program to increase returns to shareholders in the future. Thanks again for joining the call today. Now let's take some questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Joe Greff with JPMorgan. Please proceed.
Joe Greff: Good afternoon, guys. Congratulations on the results. One question two-part related to Macao. In the 3Q, if we look at contra gaming revenues as a percentage of gross gaming revenues, that percentage went down almost 200 basis points, how much of that is you're managing the business differently offering promotions differently than before? How much of that is just the market level of promotional activity is down? How much of that relates to mix between base, mass and premium mass? And then I have a follow-up.
Patrick Dumont: So, Joe, it's a great question. And I think it's something we've been focused on for a long time. If you realize what happened in the quarter and the quarter before and actually in the first quarter, we've been impacted by disruption. And so we haven't really been able to manage our business with all of our capabilities. And so what we've been doing now is as things have been coming online and we've been focusing on managing the business for the future, we've been looking to become more efficient. So we'll look to improve our margins from managing the business more closely. And what you're seeing is a direct result of that. I think 1 thing that did impact our margins this quarter and they would have looked better was the fact that we took so many rooms out of inventory. So the majority of our, let's call it, our margin change and decline was related to the fact that that's a very high-margin business, and we still didn't have it because the rooms weren't there. So I think what you're seeing is the beginning of the cost discipline and the pricing power because of the assets we've invested in slowly coming into place. So I think it's a good signal for the future in the way that we're going to manage the business with discipline. I would like to turn it over to Grant for any additional comments.
Grant Chum: Yes. Thanks, Patrick. I think, Joe, it's more that last quarter, I think, we mentioned that as we were preparing for the full closure of the old Pacifico Casino. We did deploy some tactical measures to manage the transition of customers to the other properties. And we did that very carefully during second quarter. But for the third quarter, we're really back to our core strategy, which is we compete on the basis of our products and the content that we bring despite the fact that, obviously, third quarter, our disruption actually increased, like Patrick referenced, with many more rooms out of inventory. But we stick to our core strategy and we had a very strong quarter in how we managed customer reinvestments and still maintain market share relative to the second quarter despite rising disruption during the quarter. And despite the fact that the base mass did not recover as strongly as the summer months normally would indicate. So overall, it was a very strong margin performance. And obviously, we're very pleased that we managed to actually grow EBITDA sequentially despite the fact that the market GGR is down marginally against second quarter.
Joe Greff: Thank you. And my follow-up question related to Macao, obviously, Golden Week was pretty strong October, for the most part, has been better than expected. Can you talk about what you think the drivers of that better-than-expected performance? I'm assuming it's probably better-than-expected for you guys as well. But how much of that is driven by the increases in equity prices locally? How much of that is seasonally strong events like Golden Week or New Year's typically see a step change is a little bit stronger than maybe typical seasonality? Any kind of comments about how the typical Macao consumer is behaving since the quarter ended, given all these generally more encouraging than not trends thus far in October? Thank you.
Patrick Dumont: Yes, Joe, I think we're not going to talk too much about the current quarter just because we have a policy of not doing that. But I think directionally, we're very pleased about the quality of people we have coming into our buildings, both in Macao and in Singapore. And I think that there's some real opportunities going forward as our new product comes online, and people continue to spend their buildings. And I think even with the disruption that you're seeing, you're finding that the consumer, high-frequent, high-value tourists is coming to our properties and recognizing that there's a great experience to be had there. Entertainment definitely plays a big part of that. Entertainment has been super important for us in both markets. And we continue to look to schedule entertainment and take advantage of entertainment as it occurs in the market, even if it's not scheduled by us.
Joe Greff: Thank you.
Operator: The next question comes from Stephen Grambling with Morgan Stanley. Please proceed.
Stephen Grambling: Hey, thank you. Maybe turning to Marina Bay Sands. It's been hovering from an EBITDA standpoint around $450 million to $500 million for the past couple of quarters. Can you just remind us of the cadence of disruption, some of the work going on to add suites and how that might subside and then build into next year?
Patrick Dumont: Sure. So just to give you a sense, during the quarter, we had about 1,600 rooms available versus about 2,800 rooms available last year. So there's pretty substantial disruption going on just from a room count standpoint. We also have some casino floor work going on, which is disruptive. We did just open up some additional salon capacity there. So I think by the end of September, we should have about 27 newly renovated salons. So there's just -- there's a lot of stuff happening. I think we did Tower 1, Tower 2. We did what we call our paiza area. We just introduced Sky Gaming, which is something that we've ever had before, which was actually granted us as part of the development agreement for IR2. We've redone some dining and updated some retail. I think the biggest disruption is really Tower 3 that's ongoing. And hopefully, by the end of the quarter, we'll add another 150 rooms. We'll see how that goes. But our biggest disruption right now is we have a, one of our casino floor areas is kind of mid-flight. And so that's disrupting a little bit the casino operation. But I would say that by middle of next year, hopefully, we're going to stop talking about disruption. I think my dream not talking about disruption at this point.
Robert Goldstein: Yeah, I think by the country's point, by May of '25, both Londoner and Singapore pretty much are clear sailing. We're going to stop telling you that all the rooms are innovating, all disruption, all difficulties. It all comes to a head, and no more excuses. We'll start seeing I think some stellar results that will reflect the end of disruption in the beginning of making more money both in Singapore and Macao. I think Singapore is it's gone through a lot. It's amazing how it's done in spite of this, but Londoner having returned from that place. I can't wait to see a finished employee open, but the casino floor is very, very exciting work done.
Patrick Dumont: I would like to just point out, if you look at our earnings deck, you can see some of the results for renovation on Page 40, Page 41. You can kind of see the quality of work there. I'd like to give a big shout out to our design team. We don't really produce anything like this in our company's history. Our customers are taking notice. You can see that by the high-quality customers we have coming in, the ADR that we have, the demand we have, the reviews we have for these rooms, the customer feedback very proud of what we've done in Marina Bay Sands. And if this is what we're able to do with this level of disruption, we're very excited about the future and the trajectory of the business. It's really amazing how strong the market is, how quality of tourists is coming into Singapore and the fact that they are really interested in coming to Marina Bay Sands. And so I think the investment has been very positive, and we're very happy about it. But unfortunately we're still talking about disruption.
Stephen Grambling: And maybe as a follow-up, just on Marina Bay Sands, realizing that you put out the number, the updated numbers in terms of capital spend on IR2. I guess, has the scope changed at all? Are there any updated thoughts on how you think about the returns on that project potentially versus other projects, realizing that you'll probably get into this both later this year and next?
Robert Goldstein: Well, obviously, the biggest change that you may be aware of is that there's a full casino amenities that's built. No longer just a hotel supporting IR1. And, so that's obviously, the biggest change is that. And I think you'll see it from the design there, it is laser focus on the premium mass segment. We believe this is a market that has grown to what $6.5 billion of GGR probably in '24. We believe we can easily get to $11 billion by quarter end. So this project reflects a lot of capital being directed at a very, very strong customer segment and a unique asset. It's a unique market that is stellar and it's unique. There's barriers to entry. There's a proven market. We'll guess who the customer is. We've been there for 14 years. So we feel very, very confident that these results are going to be terrific by we've told you before we expect IR1 to get to 2.5 billion and we believe this new building can make, in excess of $1 billion on top of that. So we're very confident that we've built the right thing in the market and its unique, location destination to our business. Like, you have a tested market, you know the competition, you know the government, you know the infrastructure, barriers to entry. So the biggest single change, obviously, is a full blown casino as opposed to just a hotel.
Stephen Grambling: Makes sense. That's it for me. Look forward to seeing it in November. See you.
Operator: Up next, we have Robin Farley with UBS. Please proceed.
Robin Farley: Great. Thanks. Last week, investors heard a bit about some pressure on luxury spend from the Chinese consumer. I wonder if you could talk about what you might be seeing there and how much do you think how much overlap is that with, you know, your premium mass consumer?
Robert Goldstein: Robin, let me just talk about that for a second. I think we're I think everyone should be impressed the resilience of Macao. We all know what's happening in China and the very confidence will return to a stronger place in the near future. But the fact is Macao is performing showing growth and strong growth, I think, despite the economic environment there. Hopefully, we'll see more, insight to the government's perspective on the economy in the near future. But unlike retailers, you're right, has struggled and we struggled as well with our top end retail, retail in general in Asia, there's no disputing until the LVMH numbers, [indiscernible] numbers, caring numbers. But it has not been a similar path for gaming in Macao. Macao is showing growth, double-digit growth in the quarter. It's very -- it's very exciting if this continues. I think it will. I think we'll exceed $30 billion plus next year. We're waiting for the day when the base mass determines. And so our current assets speak very well to the, I mean, the Londoner completion and the Venetian will be talking to each other. I think, creates two most impressive assets in the market by far making billions of dollars in the future for us. But the real kicker comes when the basement does return because, as you know, our assets are built for scale and built for, you know, huge throughput. So but even when that happens, the world turns very, very sunny for us. But in the interim, unlike retail, unlike other consumer spending, businesses, Macao is proving very resilient and very powerful, and we're grateful for it. And you saw the numbers coming out of the market numbers for October, looked awfully good for the industry where we saw the first weeks of October. So it's a very positive story relative to other businesses operating in China.
Robin Farley: Great. That's really helpful. Thank you. And maybe just one quick follow-up is, with some of the stimulus that was announced a few weeks ago, did that change your expectation for timing of recovery in the base mass? Or in other words, where should investors maybe look to see that show up if you, in fact, if you think, you know, it will show up? Thanks.
Robert Goldstein: I think it's I was in Beijing two weeks ago. I think it, first of all, it was very well received by everyone to see the government stepping in. It is wonderful and hopefully continues. But I think it's too early to predict where and when and how and how quickly. Again, I think it was great to see is that before the stimulus, Macao continues to show strong growth. And with our product offering, they will participate in that. When this thing shows up, how it impacts the customer, we hope it would be sooner or later. It will be all segments, but I think time will tell. We have I don't think we have any insights. Grant or Wilfred, do you feel differently about that?
Grant Chum: Yes. Rob, I think the main point here, which you referenced just now is that Macao GGR remains very resilient before any of these stimulus measures have the chance to take impact. And I think that's very clear in the premium segments. And I think any economic tailwind we get as a market from the stimulus measures over time, obviously, will help the other segments, in particular, I think, base mass and retail, which are two very important segments for us. So overall, we should acknowledge this Macao GGR, Macao Gaming is a very big out performer in the whole consumer universe in the region right now. And that's powered by the premium segment, where we are extremely well placed with the great products that we bring online. But of course, as the economy gets better, as some of these measures have positive impact over time, we obviously expect the other segments, which are also important to us, will follow through and give us a further boost to what these assets can actually deliver into 2025 and beyond.
Robin Farley: Okay, great. Thank you very much. Okay.
Grant Chum: I'll add a couple of points. The first thing is that the economic stimulus measures introduced by China are still unfolding, but the directional development is welcoming. We have confidence in the Chinese Mainland's economic future and we'll continue to invest in Macao's future. The second point is that in 2024, Macao has been rated by the Chinese tourists as the most desired destination out of the Chinese market. So we see that Macao will stand to benefit once economic activities return to normal.
Robert Goldstein: Well said.
Robin Farley: Thank you.
Operator: The next question comes from Shaun Kelley with Bank of America. Your line is live.
Shaun Kelley: Hi. Good afternoon, everyone. Thanks for taking my questions. Wanted to go back to IR2 to start. Thank you for the additional just numbers and disclosure there. Rob or whoever is right, obviously, an increase in the casino scope and capacity and what's always been a supply constrained market is pretty interesting. Any details that you can provide there in terms of how many positions or what form some of the gaming expansion may take? Or imagine if it's too early, when might we look forward to hearing some additional details like that?
Patrick Dumont: We're going to publish the final details, over the next coming months, but the idea is that it has, casino gaming in the podium and Sky Gaming in the tower. Look, our goal with this tower is to make it something very different. This is going to be the most important gaming and hospitality building in the world. It's going to be the best hotel in the world. That's our goal. The best service, the best experience, the best F&B. Our goal is to create something that is really extraordinary and helps address the Singapore market, which we know quite well now, has been consuming some of our highest end products, over the last 14 years. And so we're very aware of the market segments that we're addressing. And so we feel like this is a project that will be very accretive to our overall portfolio and create substantial value to us in the long-term. What I can tell you is that it's a very robust program. So it will have, great food and beverage, great other amenities. It will have a public access component. It will have a Skypark, as you can see, its own version of the Skypark. It will have MySpace. So it's going to be a very important, globally significant asset, for tourism, but it's going to be very specific to a very high end segment that we're dealing with today, and so hence the investment.
Shaun Kelley: Great. Thanks, Patrick. And then as my follow-up, if I could just turn to Macao, obviously, it was encouraging to see a bit of the market wide recovery in visitation. And I was just wondering if somebody could provide a little bit more color on how sort of visitation played out through the quarter. I think as we look back, second quarter things were light and kind of little soft relative to kind of where we sit in 2019. Clearly, sequentially that improves. So just what was behavior like as things improved? And what were you seeing from sort of the customer patterns on the visitation front? Thank you.
Robert Goldstein: Grant, do you want to take that?
Grant Chum: No, I'll take that. Yes, thanks for the question, Shaun. Yes, as you rightly pointed out, visitation improved in terms of the recovery rate in third quarter as relative to second quarter. So we're up to about 93% recovery versus 2019 third quarter. And actually, August, the visitations exceeded 2019 levels. This quarter, it was primarily especially when you look at it on year-on-year basis, primarily driven by day trip visitor increase. And probably as a result of that, but probably I think as a general macro conditions didn't translate as much as you would have expected into the actual spending, especially in the base mass and the retail. So what we saw in the third quarter is actually continuation of the strength in the premium segments. We had better visitations, yes, but that didn't necessarily translate into the base mass business or help the retail business to any great extent. But it's encouraging to see the interest and desirability of consumers to come to Macao. Clearly, the Sheraton keys being 2,400 fewer rooms available versus the prior summer didn't help us, but also frankly didn't help the market as a whole because that's a very large amount of inventory to be out of the market. So overnight, as it is, that obviously hampered that segment. And overnight, visitors typically spend multiple times what day trippers spend. But like I think Wilfred mentioned, Macao remains very desirable as a tourist destination for the region. And I think it's encouraging to see that come through just in the volume of visitations for the quarter.
Shaun Kelley: Thank you, everyone.
Robert Goldstein: Thank you, Shaun.
Patrick Dumont: Thanks, Shaun.
Operator: The next question comes from Carlos Santarelli with Deutsche. Please proceed.
Carlos Santarelli: Hey, guys. Basically, just one question, but maybe two parts to it. I don't know if Grant wants to take this, but just thinking about the cadence of rooms coming back online in Macao relative from where we are today, what the total room count will be acknowledging some regular rooms got compressed to suites come Golden Week of next year. And then kind of bucketing the rooms out of service and thinking about the impact they've had on a good slide that you guys have in your deck that kind of shows EBITDA share in 2019 of about 34% and that trending at roughly 30% kind of this year. How much of that 400 basis point delta do you think returns with the rooms coming back online?
Grant Chum: Should I take it?
Robert Goldstein: Yes, please.
Grant Chum: Yes. I think on the construction and the delivery of the new rooms, I mean, first of all, I think the team has done a fantastic job in delivering the assets back the way they have by the end of September, where we opened a new casino, Londoner Grand Casino as well as the get licensed for 300 the first 300 suites in Londoner Grand. I think it's important to understand that in the fourth quarter, we actually go down further in the total number of keys available during the quarter versus third quarter because we will be losing the rest of the Sheraton rooms and we will be staying in terms of licensed new suites at this 300 number for pretty much the whole quarter. So we'll actually reduce further in terms of key count by about 600 to 700 rooms in the fourth quarter relative to the third quarter. So it's really only until January that we start to get a significant uplift in the critical mass of new suites and we hope to be above 1,000 new suites by January or at least by Chinese New Year in January. And then it just ramps up from there until May or middle of the second quarter to the full inventory of 2,400 keys. And by then, we'll be back up to over 10,600 keys or just on the 11,000 thereabouts by the second quarter. Obviously, the room inventory being out by so much does impact our EBITDA and EBITDA share. And to your question on the prospect for the EBITDA share recovery, I think, we're very confident that Londoner Grand and the whole Londoner Macao will deliver as we roll out the what is really, I think, top product at unprecedented scale. This Londoner Macao will be 4,400 suite hotel with about over 60% of the keys being suites. There's really no building like it in our industry in terms of that scale of quality and the offerings it has between the F&B, the arena inside of the actual building. So we're very positive about how this will help to drive our EBITDA and ultimately our share of EBITDA as it ramps up and 2025 unfolds and hopefully with some of these tailwinds that we just referenced earlier in the call. So, yes, we are very excited about how this asset will deliver for us. And to Rob's point, between Venetian and Londoner Macao, I think you've got two amazing assets that's really going to deliver for us, but also deliver for our customers.
Carlos Santarelli: I appreciate that. Thank you.
Grant Chum: Thanks, Carlos.
Operator: The next question comes from Brandt Montour with Barclays. Please proceed.
Brandt Montour: Hey, good evening, afternoon everybody. So first question in Singapore, the ADR reported RevPAR, but ADR specifically of $900 was staggering. I'm just curious, I know there was a lot of rooms out, with sort of the trough. It seems like in terms of rooms out of service, when we look at that ADR, you know, I'm trying to figure out, was it is there compression happening in that ADR because there are rooms out or is that number sort of, illustrative of the quality and the sort of higher level product that, you know, that you're coming out with, for that asset?
Patrick Dumont: The answer is yes. So, the first thing is you can see the pictures. Hopefully, you have a chance to actually see the rooms in person. The rooms are extraordinary. The design is fantastic. The service levels are incredible and we get that feedback from our customers. And so the ADR is a direct result of the market's view of the quality of the rooms after the renovation. And, hopefully, the entire building will be like that by the middle of next year. We're very proud about it. We've made a lot of strides. We've done a lot of work. The team there has been phenomenal. It's been our goal to make that the number one hotel, in Asia and the world. And so we've been working towards that. Been doing a lot of benchmarking work and trying to figure out how to get there, which is unusual for a property of this size. I think actually one of the things that will help grow that ADR further is when IR2 is open and we have an arena. That arena is going to be an incredibly powerful tourism driver for the overall complex. Having a 15,000 seat live performance venue with great technology, great viewing lines and a great experience is going to be very unique things. And so the ability to schedule that asset, to program it, will drive a lot of visitation, not only to Singapore, but to Marina Bay Sands and will help us drive ADR further. So we feel very strongly that this ADR is a reflection of some compression. Very fair. We took rooms out of our keys out of the building. But more importantly, it's really, something that points to the quality and the service levels of this, newly renovated building. And we think it will grow over time as more amenities are put in around it.
Robert Goldstein: I think, to be fair to us, I don't think compression is that big a deal. In every market, there is extraordinary product people have said, gamers and non-gamers. This is that product. What's happening in Marina Bay Sands isn't just a compression. Sure, a few more or less rooms help you, but I believe demand is going to continue to soar once they experience the product. There's just nothing like it anywhere in terms of the room quality, the food and beverage product, any and all this hotel, the architecture, the public spaces. It's the place people want to stay. We have to get 2,000, 3,000, 5,000 keys, you can sell them all easily at price that will continue to grow. I think it's really a testament to the quality of product and the strong leisure demand and gamer demand in the market. And it's just going to get better and better because Singapore is that desirable. Infrastructure, government, accessibility, it's a very special place. So we built a building that's going to be, for many years ahead, the most desirable place for everyone to stay at. So rates should again, just go up and up. And gaming capacity will, you know, obviously grow more gaming demand, but it's a very different place than anything else in Singapore.
Brandt Montour: Okay. Thank you for that. That's helpful. And then a question on Macao, on the arena. You know, we don't talk about the arena as much as we hear about the casino floor and the Londoner suites. And I wanted to hear, you know, your level of excitement about that, arena renovation. And specifically, you know, when we think about '25, is there a calendar associated with that where we would expect periods where you can look out now and say, okay. Well, this quarter this quarter has, you know, a great slate of events and where it will be a needle mover or if there's a lag associated with sort of getting it, you know, up to the place that you'd want it to be?
Patrick Dumont: So the great thing about entertainment in Macao is that it's a very important part of our premium mass business. And we use it and we have used it successfully to drive premium mass visitation. And we have programs that help sort of leverage that asset. It's been very successful for us all over Asia in terms of scheduling live entertainment. But, you know, the venue there is really an incredible one. Great visionary move by Sheldon early on to build that arena. And, you know, the updating is going to make it, more powerful. And so I think we're very excited about the types of programs that we can run using it. And there will be a schedule and it will be within our control, and it will allow us to create more visitation and better spend at the Venetian and the rest of the property portfolio. But Grant or Wilfred, I don't know if you have any additional comments you'd like to add?
Grant Chum: Yes, I think, we have referenced it in the deck, but we are progressing very well on the construction, the upgrade for the Venetian arena. And it will relaunch actually towards the end of November into December. And we already have the first events lined up in terms of entertainment, but also sports. So that would get start getting some traction actually even at the end of this year. But we also should note like Patrick referenced on the entertainment offer in general, with the Londoner arena, with the 6,000 seat Londoner arena, we have been programming very actively even during the downtime of the Venetian arena or especially, I should say. And we did around 17 shows in the Londoner arena during third quarter and many of these shows actually did help us in driving the traffic and the spend. So we're very excited to have the Venetian Arena fully upgraded. I think it's going to be great for entertainment, sports, MICE, events. So it's really serving multiple segments and boosting the diversification drive in Macao. I think with the great setup there with the VIP boxes, with the backstage, the locker rooms and obviously the state-of-the-art technology, I think is going to be basically like a new arena launching. So we are very excited about that. But another point to know is we will be programming both arenas and sometimes there will be shows concurrently in both venues on both sides of the Strip. So we're excited to see how that could help our business too. So, yes, you will continuously see us showcasing new events in the calendar. There's already three events selling tickets now towards the end of the quarter and we are looking forward to do some announcements on some more major events before the end of the year as well.
Brandt Montour: Great. Thanks, everyone.
Operator: The next question comes from Dan Politzer with Wells Fargo. Please proceed.
Daniel Politzer: Hey, good afternoon, everyone. First question on Singapore on IR2. Can you talk us a bit about the regulatory landscape and outlook? Remind us maybe in terms of when the licensing goes through as it currently stands? And I assume you expect this to remain a duopoly market or maybe even better, but is there any expectation for how you think about gaming tax rates as you underwrite the returns on this building?
Patrick Dumont: Yeah. So I think for us, the way we model this is that we have a, we basically have a moratorium on the changes in gaming tax, until the early 2030s. And I think for us, I think, you know, we view this investment as a very long-term thing and we'd like to believe that we'll continue to add value to Singapore and that we'll continue to be a good partner to the government and accomplish the goals in tourism that are necessary. So I think from that standpoint, we feel like it's a very stable operating environment. It's a wonderful place to deploy capital. It has been a wonderful place to deploy capital. We feel, as Rob referenced earlier, that there's a stability there and, you know, a very strong trajectory forward for us. So I think as we look at underwriting this, it's a very long dated investment, right? It doesn't open for six years, hopefully sooner, but we'll see. And that's obviously pending government approval, along with, you know, the final pros that we need to begin by the summer of next year. But we think about this as a very long-term thing, and we feel very excited about what we can build there. The gaming is a nice add, but there's also a lot of things that are going to drive tourism that would be very beneficial to us as well, like the arena, like the hospitality, like the food and beverage to enhance the overall appeal of the entire complex. So I think for us, look at this in a very long term way, we feel like there's very high barriers to entry there. I think right now, it seems like the feeling is that we're, it's a duopoly market for the foreseeable future, and we certainly hope it stays that way. But from our standpoint, we look forward to the opportunity to invest in scale, and that's what we're doing.
Daniel Politzer: Got it. And then just turning to Macao, the promotions obviously came down quarter-over-quarter. I mean, as we think about getting back to those mid to high 30% type margins in Macao, is this really a function of recapturing shares, seeing more of the visitation come back or at least kind of gaming oriented visitation? Or is this really kind of you need the market to grow to get back to those levels?
Patrick Dumont: Well, I think the first thing is, for us to get to high, you know, to get to the high 30s, low 40s margin, we need revenue growth, and we need all the segments to return. You know, right now, some of our segments have not returned, particularly the base mass segment, to where they were pre-pandemic, and we are built for that. Our investment is one for scale. We have the ability to service the premium mass segment very well. The Londoner is an incredible product. The rest of our portfolio has incredible products as well. But if you look at the scale and the amenities that we have, everything from food and beverage to the bus terminals to the grand entryways to the theming, we're very much able to accommodate leisure tourists. And so for us, you know, that missing visitation, if you will, from 2019 and also, you know, the lack of the base mass play is impactful to us. So the way, the way we would get to the higher margins is through revenue growth. That being said, I have to hand it to the team there. They've been wonderful in terms of cost discipline and being disciplined in the way that they spend money to ensure that we maintain our margins up against the current revenue that we have. But I think as we look forward, our investments will ultimately drive, higher value visitation, in the long run. And we firmly believe that. We see that historically and we've experienced it in other markets and in this market, particularly when we do high value renovations. So I think for us, you know, as visitation continues to improve, hopefully, as the base mass market continues to improve and as we continue to get our premium mass segment assets back online, you'll start to see a normalization of revenue and then a normalization of margins. Grant, do you have any additional comments?
Grant Chum: I think you covered it hopefully. Thanks.
Daniel Politzer: Got it. Thanks so much.
Daniel Briggs: Thanks, Dan. Operator, do we have any additional questions?
Operator: Yes. The next question is from Chad Beynon with Macquarie. Please proceed.
Chad Beynon: Good afternoon. Thanks for taking my question. You've been asked a lot about Macao, but I'm going to add one more to the stack here. So, obviously you and the other concessionaires went through the whole retendering process two years ago and we've gone through the checklist of items including your industry leading employment and other items. But with the new Chief Executive coming into his position in Macao, and I believe a month or so, is there anything that we should expect in terms of market focus, concessionaire focus or is it kind of business as usual as they transition through that? Thanks.
Robert Goldstein: Let me say we're always very focused on making sure we're doing our job with the government and adhering to the things we were asked to do. I don't believe that new Chief Executive will change that, but we will stay focused and listen very carefully to make sure doing our part. We always do that historically in Macao. And we've always been, I think, a leading company as far as investing in Macao and hearing Macao's principle. But I don't expect to see radical change at all. I think it's going to be business as usual for the most part. Wilfred, do you have an opinion on that?
Wilfred Wong: Yes. I think the concession commitment maps out a long term development focus. So all six of us have thought very carefully and comprehensively what we want to do under the guidance of the Macao SAR Government. And I think the change of at the top will not have material changes to the directional change, because what has been emphasized so far is that Macao really aims to diversify. We should invest in non-gaming. I think these directions will remain. We just feel that as Rob pointed out that as long as we conduct our business as usual and listen very carefully to what the government has to say depending on what happens in the next few years, we should be able to continue to operate favorably in Macao.
Chad Beynon: Okay. That's helpful. Thank you for that. And then separately one of your global competitors was recently granted a license in the Middle East. They presented some pretty favorable investment returns to investors in the past couple of weeks. They also mentioned that they expect competition in that region from others. So is this a region that you continue to study or are there reasons why this would be a pencils down, investment opportunity as you think about it? Thanks.
Patrick Dumont: I think we're always looking at new investment opportunities, for Las Vegas Sands. I think it's a market that we'll continue to study and look at and we'll see how it goes.
Chad Beynon: Okay. Thanks, Patrick.
Operator: The next question comes from Vitaly Umansky with Seaport. Please proceed.
Vitaly Umansky: Hey, guys. How's it going? Look I think I have two questions. First one for Patrick. When we look at Sands China and kind of cash flows coming in, how are you guys thinking about distribution of that cash going forward? Obviously, there this future CapEx requirements under the retendering process. There's other expenditures that need to take place, but there's also an intercompany note that's still outstanding between LVS and Sands China. There's also I think investors looking at Sands China and thinking about can China can Sands China get back to being a higher dividend paying stock, the way it used to be in the past. So maybe for Sands China, how are you thinking about capital outflows? And then I think for LVS as a whole, with the announcement and kind of the CapEx layout now for Marina Bay Sands, how are you thinking about number one financing for MBS Phase 2? And also what does that mean for return of capital to investors of LVS? And then maybe the second question is around --
Daniel Briggs: Wait, that was one question.
Vitaly Umansky: Sorry, sorry, guys.
Daniel Briggs: Keep going.
Patrick Dumont: Keep going, Vital. You're good. Keep going.
Vitaly Umansky: Yeah, just a question around New York. What your current thinking and thought process is around the New York licensing process.
Patrick Dumont: So, really appreciate the questions. A couple of thoughts. So first off, in terms of SCL, you know, I think SCL is performing incredibly well given the disruptions there and I think we'd like to believe that EBITDA will grow meaningfully over time, you know, as will our cash flow. And so, you know, in years past, part of the pandemic, SCL was very shareholder friendly in terms of dividends. And, as you can see that LVS is actually buying SCL stock, as we can in the market because we have a lot of conviction about the value of SCL equity as well as LVS equity as you can see by the buybacks at the LVS level as well. And I think as we think about SCL, we're very hopeful that it will be a dividend payer in the upcoming year. We think that that's a possibility and we'd like to believe that it's going to occur. But again, that's up to the board there. And I think the, in terms of the note, I'd like to believe that's also something that could be repaid to the parent level at some point and provide some additional, capital allocation flexibility for the parent co. And we'll see how that goes and be able to hopefully maybe buy some stock with it, if that's possible. So we'll see. But I think in the long term, we'd like to believe that SCL becomes a dividend payer again. We think that makes sense for the shareholders there. At the LVS level, we'd like to own more of it and you'll probably see us do a little bit more of that. But in the long run, we think there's going to be a very high quality return to capital program coming out of SCL assuming the trajectory of the business, given the investment we've made and our belief long-term in the market. I think at the LVS level, there's a couple of things that you've raised there. I think first and foremost, I think when we think about capital allocation, we think about growth. You know, our highest and best use of capital is new ground up development. So you see us doing that, both in Macao as part of some of our concessional renewal work as well as in Singapore along with this IR2 development that has just a panoply of great amenities, including which is going to be, what we believe, the best hotel in the world and an unbelievable arena. So, you know, we think these are great investments that will create a lot of growth and growth and cash flow for our company. So that leads to your next question, which is how do we finance this? And our goal is actually to follow what we've always said, which is, raise some cost efficient debt capital. It's one of the reasons why we like being investment grade name. It makes our cost of financing efficient for new growth developments and we'll look to do that. And, you know, if you think about the proportion of debt to equity, I think it's pretty consistent what we've talked about. You know, let's call it in the, you know, 35% context of equity, and the rest will be financed, given the debt capacity that we have at the MBS balance sheet. And the great news is that we've run a little leverage of level, full leverage level there with the anticipation of funding an IR2 development. And so now that's coming to be. So we're prepared for it and we look forward to the opportunity to work with our lenders to create that financing facility, to allow for it to be built. So I think as we move forward, you'll see, a delayed draw term loan at the MBS level to fund the construction with equity checks going in as well over time. Over the construction schedule, we actually have construction schedule will be provided. Again, it's kind of illustrative. It's something that is a rough estimate today, but designed to give people a sense of timing of cash flows. And that's actually on Page 46 of the deck if you want to get a sense of kind of what we're thinking. It may not exactly be this, but this is context, you know, from what we can understand and see today. And so our goal is to, in effect, create the flexibility to continue to invest in high growth opportunities, continue to pay a dividend and continue to repurchase shares at both levels. And, hopefully, we'll be able to do that, but that's our plan. And then I'll turn over to Rob for New York.
Robert Goldstein: What was it, I'm sorry, it's a long, the question was on New York that was the issue itself?
Vitaly Umansky: Yeah, Rob, just kind of what the --
Robert Goldstein: Yeah, New York, just refresh my memory.
Vitaly Umansky: The capital allocation.
Robert Goldstein: Was the question on New York in what regard? I didn't hear the whole question. Are you there?
Vitaly Umansky: Rob, it's just about what the current, yes, from your end in terms of what the New York process is and where do you expect it to go from here because there's been delays.
Robert Goldstein: Yeah, yeah. Okay. Got it. Yeah, so the thinking right now is that the license will be submitted sometime in I mean applications for licensure sometime in the spring of '25 with a decision. This morning, I was told probably the first quarter of '26, but they have to make a decision. We remain interested in the process. One fine, I've always been the biggest advocate for New York and other jurisdictions. The only concern I have these days is the ongoing strength of online gambling, which you can't ignore what's happening in New Jersey and Pennsylvania and Michigan. And I think it's for the markets. But, you know, we build capital intense business buildings that require long-term perspective. And I must admit that there's got to be some kind of way of thinking about how the online impact would be, not where you are in the US. It's just a concern and it's something I've been looking at closely. I'd love to be in New York with the right capital structure and the right licensure process. But that's the newest wrinkle, as far as the process, New York itself has really changed. They're still talking late '25, early '26 for decision. I just my personal thinking has been influenced somewhat by the last six months as I see the growth of online gambling. So there's some to think about as we move forward in any market where online gambling is possible. You know, I think sometime in next year or two, you're going to see online exceed land based revenues in New Jersey, which is pretty exceptional.
Vitaly Umansky: Rob, sorry, does that mean if New York, for instance, were to legalize online gaming that you would have to reevaluate what your proposal would be for New York?
Robert Goldstein: It goes beyond that. My concern is we don't know what, you know, our buildings take a long time as you see that Singapore they take years to finish. I need some understanding of how the market any market thinks that online gambling anywhere you go. If you're going to spend, time, if Singapore legalize online gambling, you make a stop and think about IR2. If any market does legalize it to think, what does it mean to me in my capital investment? And I think that it's New York or Michigan or Florida any place that's online, it makes you stop and scratch your head. There's going to be some resolution of the issue. I'm not saying they'll tell you definitively, but you can't ignore that possibility when you see the impact of online in New Jersey, Pennsylvania, Michigan and probably the other four states are coming online. You can't ignore the, the impact on land based revenue.
Vitaly Umansky: Yes, that makes sense. Thanks for the update.
Robert Goldstein: Thank you.
Operator: Okay. The next question comes from George Choi with Citigroup. George, your line is live.
George Choi: Thanks very much. So we were at the Londoner Grand a few weeks ago and noticed that the minimum bets at the baccarat tables there, were noticeably lower versus the Londoner Casino. I just wondered if that is temporary or does that signal any difference in market positioning between the two phases?
Robert Goldstein: I think it signals you more rooms above that. I was there, I guess, 10 days ago or so. I think what you're going to see, George, over time is the Londoner like Venetian will become the most dominant players in the market. No questions asked about it. No change in marketing. Just need to complete the product, get the rooms done on top. There's a lot of people in the building, but you need to get the right premium mass customer to achieve the minimum bets you want to achieve. I stand by we've done this now for -- we show Londoner, I think, five, six, seven years that began with Sheldon, the Londoner process. It finally completes in the spring of '25. I remain completely steadfast to my belief that it's going to dominate that in Londoner and the Venetian will dominate the market. I have no concern whatsoever. And the minimum bets when you count them, you'd be very happy with them as getting rooms above the building above the casino. In any building in the world that is gambling, there's always a complete I mean having the rooms connected to the casino, having easy access is always an essential element of success. So Londoner while it's open, it's not going to achieve the same goals as Venetian or the Londoner one to have the rooms open.
George Choi: That's very good color. And as a follow-up, when the Londoner is fully open next year, how should we think about the EBITDA trajectory going forward at the neighboring properties, the Parisian Macao?
Robert Goldstein: There was a question how it affects other businesses?
George Choi: Yeah. That's right.
Robert Goldstein: Yeah, from my perspective and the team, and Grant may have a different take on. I've always said that I think Londoner and Venetian will be the one or two players or two and one players, each making $1 billion. My goal is $1 billion plus for each of those buildings and the rest of the portfolio will be, you know, another $1 billion plus. That's my goal for our company long term over the next few years. And but again as Patrick referenced and Grant and everybody in this call, we need to see return to more base mass gaming. You saw the differential between visitation and gaming. In the past, visitation was a complete predictor of gaming revenue. That broke rank [indiscernible]. We're seeing lots of visitation, but not the gaming to a company. And that's a negative. I mean, there's no hiding from the fact that it disappoints yet a bigger base mass tail. I have full faith that China will figure out its economy. It's too important to the world not to. And as China recovers and base mass recovers, that our company, SCL, LVS will be the biggest recipient of revenue, margin and growth in Macao. It's going to happen for sure. And as Sheldon used to say, day follows night, night follows day. China will get back to a better place. It will recover. The accountants will recover. Macao will continue to grow in the 30s and beyond. And someday, we'll get back to $3 billion plus EBITDA. And those two buildings will stand very, very tall. Does it negatively impact the Four Seasons? Not really. It's a stellar small product. The Parisian as well. I think we have a lot of confidence that in the aggregate, that portfolio is unique and they all speak to each other. We have the ability to market within the portfolio. So again as long as we get stronger, it doesn't mean others get weaker. It just means there's more strength in the market. But I would tell you that the real upside of this company will be the day when, yes, we'll do very well premium mass, but when that base mass recovers, that tail will drive us to a whole new level of opportunity. And that day is coming.
George Choi: That's very clear. Thank you very much.
Robert Goldstein: Thank you. Enjoy your reports, George. The next question comes from David Katz with Jefferies. Please proceed.
David Katz: Hi. Good evening. Thanks for taking my question. I wanted to go back to Golden Week for a moment if I may. You know, I would say that, you know, we, the street collectively had a set of expectations going into Golden Week. And, you know, the result turned out to be, you know, quite a bit stronger than that. And for better or worse to where we get our information, how those expectations are set. I'm curious where yours were and, you know, whether Golden Week turned out to be materially better than, you know, what you were looking for and exactly what the drivers of that were please.
Robert Goldstein: So as typical, you know, we'll talk about this in 92 days. We don't talk about current quarter, on the earnings call, but appreciate the question.
David Katz: Okay. Thanks very much.
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.